Operator: Good morning. My name is Tamika, and I'll be your conference operator today. At this time, I would like to welcome everyone to the UWM Holdings Corporation's Second Quarter 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question and answer session. [Operator Instructions]. Thank you. Blake Kolo, you may begin.
Blake Kolo: Good morning. This is Blake Kolo, Chief Business Officer and Head of Investor Relations. Thank you for joining us and welcome to the second quarter 2022 UWM Holdings Corporation's earnings call. Before we start, I would like to remind everyone that this conference call includes forward-looking statements. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the earnings release that we issued this morning. I will now turn the call over to Mat Ishbia, Chairman and CEO of UWM Holdings Corporation, and United Wholesale Mortgage.
Mat Ishbia: Thanks Blake, and thank you everyone for joining the call today. Really appreciate it. Before we get started, I think its most important that I first recognize the life of Tim Forrester, my CFO, who recently passed. He was a great man until love these calls with all of you and was a huge part of our growth and success at UWM, and he will be missed. I like to take quick moment as silence in memory of Tim Forrester. As hard as this is to transition, let's get into the highlights of our second quarter with very strong results. First, we close $29.9 billion of mortgage production for the quarter, $22.4 billion of this was purchased volume, 17% higher than our first quarter purchase volume. This is a dominant number. And we continue to demonstrate that we are the number one purchase lender in America. We dominate on purchase and brokers view as well. We have been talking about this for years and all things we are great at tie into the winning in the purchase business. The best purchase lenders are the most well run lenders, and no one is better and purchased than UWM. We continue to deliver world-class service levels. Our net promoter score is at plus 88 for the year, and our speed to close remains about three times faster the rest of the industry. This level of service keeps our brokers always coming back to UWM and extremely sticky. In addition, I'm happy to announce that we deliver $215.4 million of net income for the quarter with a gain margin of 99 basis points, which was also our margin in Q1. As I said before, 75 to 90 basis points will likely be the average for the full year, and now we strategically have a cushion for the second half of the year at which aligns into our announcement on game on pricing, that I will talk a little bit more about later. In addition, we did fully diluted earnings of $0.09 per share. And I'm happy to announce for the seventh consecutive quarter, we will be issuing our regular dividend, which is important to all of our shareholders, and I see no reason. This won't continue for the foreseeable future. Andrew, will provide more color on these numbers in a few minutes. But I wanted to discuss our strategy for the third quarter. We remain laser focused on the growth of the broker channel. Because it's the fastest, easiest and most affordable way for consumer to get a loan and the best place for a loan officer to work. This is not my opinion. These are facts. Most recent Honda data that's Home Mortgage Disclosure Act, it's government data, shows the average borrower will save $9,400 over the life of the loan by going through the broker channel compared to the retail channel. It's even better for minority borrowers who save about $10,400 using a broker. Consumers are learning these facts every day. And this is why the broker channel continues to thrive. We're excited to continue to get this data out to more and more people, because it's going to make an impact on not only our business, but consumers across America. Retail loan officers also know the broker channel is the best place for them to work, which is why UWM is committed to helping them make a successful transition from the retail channel to the wholesale channel. UWM has been waiting for the rising rate environment so we can prove what we've been saying all along. We continue to gain market share when others are retreating from business. We hosted about 5000 of our clients here on our campus in May for UWM live, while other people are laying off. And we are being very aggressive in this environment, which is why our Game On announcement strategy in June is going to play off so well going forward. Game On is an aggressive pricing strategy used to attract brokers that are not using UWM to see why our process, our technology, our service and our partnership are the best in the country. Once our broker experienced our technology and service, understands that we are a true partner, they become loyal. They know our goal is for them to do more business and they will do more business partner with UWM. Game On also is the last nudge that we believe retail loan officers need to convert to being a loan officer broker shop or start their own broker shop. They have always known it's hard for them to compete on price and rates with brokers and with service and technology support brokers have today. But now with Game On, it's making them take an extra look at the broker channel. And it's working even better than planned. We are tracking amazing activity on beamortgagebroker.com website where people can begin the process of becoming a mortgage broker or loan officer and the broker channel. This proof point provides a very early look how our charges viewed or ignore the fact that the website has had more traffic in the last few months since Game On strategy than all 2021 combined. So let me give you a little bit of that data. In 2021, about 226,000 people hit that website, inquiring about being a mortgage broker. Just in June and July alone since Game On, we've had over 329,000 people hit that website, and over 515,000 for the year. So just in the two months since Game On, we've had more people hit that website than all 2021. In addition, new loan officers are moving from retail to wholesale. Now this a bit of a laggard on data, because it takes three to six months, maybe even seven months in certain states and areas for them to actually become a broker from leading retail. All of 2021, the data shows 6,353 loan officers who left retail joined broker. In the first seven months of this year, including July 5782 have already converted over. So we're on pace to do significantly more. And that is inclusive of the best month we've ever tracked, which is over 1000 loan officers moved over from retail to wholesale in the month of July. We're very excited about that data. And once again, that lag. So it's really not even like the Game On date is going to push even further going forward with all the people hitting our website along with people moving their license over. Very excited about this opportunity. We are confident the strategy will work, because we've done this before. The last time was in the first quarter of 2019, and we saw a significant amount of LOs turn to UWM. This is happening again. And this time our service and technology is even better than it was back then. I'll have more data on the 2019 success and the 2022 success at our next earnings call. And I'm excited to share, because the early numbers are fantastic. With one of my last point, I think it's really important to mention that all the success, the brokers that only make 20% of the overall mortgage market. That's the last thing the move. Beamortgagebroker.com at the top of the funnel, the loan officers converting at the middle of the funnel, and actually loans closing is the end of the funnel. Now, this means UWM, the second largest mortgage REIT in America, and hopefully soon to be the largest, has been competing for only two out of every 10 loans, when most of our competitors are competing for all 10. As we mentioned before, we believe the broker channel will grow to 33% over the next five years. However, with strategic initiatives like Game On, we think that number could reach 40% or higher. Meaning, UWM would compete for four out of 10 loans rather than just the two out of 10 loans are competing for right now. We've been waiting for the ideal market to execute on the strategy and the time is now and we're excited about this opportunity in the market combined with our different strategies, a catalyst we need to accomplish the next level growth. And I'm excited for you guys all to see it. We will look back on the Game On strategy in a couple of years and three to five years now and say, that was a multibillion dollar decision investment in our business, and the success will be shared with all our shareholders going forward. I will now turn things over to our Principal Financial Officer, Andrew Hubacker to go over some of the financial numbers.
Andrew Hubacker: Thanks Mat. We generated meaningful profitability in the second quarter of 2022 with origination volume and gain margin within or in excess of our previously provided quarterly guidance. And as Mat mentioned $22.4 billion or approximately 75% of our total Q2 loan production volume of $29.9 billion was from purchase transactions. This represents a 17% sequential quarterly increase in purchase volume showing continued strength from our core competency and competitive differentiator. Our servicing portfolio remains very strong, contributing positively to our second quarter operational performance and provided significant cash flow benefits. Despite sales of servicing on loans with a total UPB of approximately $73 billion in the past six months. Our servicing portfolio remains above $300 billion as of June 30. We believe that we have accumulated one of the best servicing portfolios in the industry with a very low whack and better asset quality than the industry overall, which provides balance to our business model and a strategic source of liquidity. The fair value of our MSR portfolio was just over $3.7 billion as of June 30. On the expense side, our staffing levels continued to decline through natural attrition and incentive based compensation expense decreased consistent with the decline in loan production, while servicing costs increased with the increase in the servicing portfolio compared to the prior year. We finished the quarter with just under $1 billion in cash. And our leverage metrics were more typical levels for our current size and scale as compared to December 31, when we were aggregating loans due in part to the early rollout of the increase conforming loan size limits. We believe that the actions we have taken by monetizing a portion of our MSR portfolio and lines of credit we have put in place and expect to put in place by the end of Q3 will continue to provide more than sufficient capital resources to support the liquidity needs of our business inclusive of our regular dividend. As noted in our earnings release, and as Mat just mentioned, the board authorized a regular dividend to be paid to our shareholders for Q3. We continue to be comfortable with the amount and timing of the dividends and believe it is appropriate to continue to reward our stockholders. Okay, I'll turn things back over to our chairman and CEO, Mat Ishbia for some closing remarks.
Mat Ishbia: Thanks, Andrew. Before I turn over to some questions, I want to summarize a few key points. We're committed to the broker channel. The broker channel has tremendous momentum right now. There's no question this channel continues to grow and is the best place for consumers to get a loan and the best place for loan officer work. The early numbers are in on Game On growing the channel and we're excited about the results. Our services best in class, pretty much any industry. We are currently running NPS or a Net Promoter Score of plus 88. Game On pricing brings them in the door and our lead client will keep them coming back for a very successful long term investment in our business. Our $22 billion of purchase business is irrefutable. Brokers in UWM dominate the purchase market and will continue to do so with the support of tools and technology we provide. Lastly, everyone considers as a tough mortgage market. However, I continue to say, UWM is able to deliver strong earnings, capture more market share in this type of environment. With that said, we are now deciding to take advantage of our pricing power by making investment into our future growth. The investment we make today will have exponential benefits in 2023, 2024 and 2025 and beyond. And we continue to capture more market share, and not only position ourselves to win but dominate the future. And we feel great about the decision we made. As I said before, we control the margins, we decided to lower margins strategically to grow the broker channel and help us continue to grow our market share. With that said, we expect our production to be between $23 billion and $28 billion for the third quarter. And while we still believe that $75 to $90, is a good expectation for full year 2022 gain on margin. We expect our third quarter gain margin to be between $30 and $60 range. As we have chosen to be more aggressive in growing our share and the broker channel going forward. I could not be more excited about the second half of this year, because I know the decision we're making today have a materially meaningful positive result in the long term success and the growth of business. Now I'm going to pause and turn it over for some questions. Thank you guys for listening.
Operator: [Operator Instructions] Your first question is from the line of Bose George with KBW.
Bose George: Hey, everyone. Good morning. Actually, your guidance for the margin for the second quarter is quite broad with 30/60. What takes you to the -- what would get into the high end versus a low end of that range?
Mat Ishbia: Hey, thanks for the question. Yes. There's a lot of things depending on the market right now. But the reality is, I'm not really focused on the margins for this quarter as the focus. It's an investment for the long term, strategically building the broker channel, building -- our market share will follow, it will grow as well. But it's really an investment going forward. So whether it be 30, or 40, or 50, or 60, it's going to be in that range, like I said. And once again, the big thing is even with this big Game On announcement and Game On strategy, the 75 to 90 basis points for the year, as I've said before, we'll still hit in that range, as I told you, that would be the low of the market. And so we had a little extra cushion. We could be more aggressive here and really helped catapult the growth of the broker channel, which is the long term strategy of 2023, 2024 and 2025, and the investment that we made.
Bose George: Okay, great. Thanks. And then, actually in terms of the timeline for the Game On program, is there sort of a finite timeline? Or how does that work?
Mat Ishbia: We're watching as it goes, The early reads has been so much better than even -- we thought it'd be great. And we knew we had a lot of strategy around it. But the data we're accumulating about each client, the information we're doing with the broker channel, seeing their retail loan officers and how they're acting towards brokers, seeing that convert, it's been so magnificent, that we're watching it a little longer. But the way I think about it, Bose is just, there's a lot of different ways to grow a business. Long term, we're thinking about this as a big investment to be a multi billion dollar investment as in not investment, multibillion dollar returns for our investors, I can look at acquiring a company, $500, $700 million, or maybe get a little market share pickup, maybe turn some loan officers from retail to wholesale, probably won't get much data out of it, or I spent a couple of hundred million dollars in the gain on sale, you guys can notice it there. But our market share grows, we move over 1000 to 10,000 loan officers. We get tons of data, there's no culture change dealing with acquiring a company, so many benefits. And so this long term. There's a no brainer for us. How long it last?. I'm looking at it going forward this quarter. I'll give more guidance at the fourth quarter on that earnings call in November.
Bose George: Okay, great. Thanks a lot.
Operator: Your next question is from a line of Kevin Barker with Piper Sandler.
Kevin Barker: Good morning. Thanks for taking my questions. Mat, I mean, you mentioned that this is a multibillion dollar opportunity by making the investment now. And I mean, it's tough to see that right now. And obviously, it's going to take time to see how that plays out. But could you help us quantify, how much investment you're willing to make now? And then how big the multibillion dollar opportunity could possibly be? Whether its market share growth in the broker channel, or just general market share growth within the brokers overall? And where those margins could potentially go to overtime?
Mat Ishbia: Yes. And that was a great question. And I'll do a good job of quantifying some of this in November for you on the earnings call there, so you can see it. But we've done this before. So January 2019, did a similar approach. So I've done this. We've seen how this plays out from the data, the analysis, the growth of our markets share and the growth of the wholesale channel. The problem was, the wholesale channels growth didn't work as well back then, because it turned into a refi, boom, the market turned into 2019, 2020 COVID, 2021 major refi boom, so the loan officers shift didn't happen at the pace that we're seeing already. And so, how do I quantify multibillion dollars? Well, just as it sounds like, it's going be -- we're going to spend hundreds of millions of dollars and we're going to see billions of dollars in return. How do I see that? Like, we saw what we made in 2020, making over $3 billion in profit. Do I see a year like that, again, in 2024, 2025? Absolutely. And I think this puts us in position for that next opportunity. The other thing is, the big part that I think people need to realize is, we're as strong as we are, we're dominant on the purchase side, I compete for two out of 10 loans right now. And so, what do I have to do as a business leader to compete for four out of 10 loans. And let's just say, my market share doesn't grow because we do a poor job, which we're not going to do a poor job. But let's just say, it stays at a 30% market share or whatever you saw in the first quarter, wherever it was.. If we stay at that same market share, but we compete at a four a 10 and say, like, we just doubled our business, right. And I understand the market coming down, but the market does go back up too. And so, understand that we're positioning ourselves for long term growth, and long term strategy, and this is the perfect time to do it. And we're going to continue to do it. Because it's much cheaper than acquiring someone and instead of unlike acquiring someone, I have much more comfort and guarantee in the results that I'm about to have.
Kevin Barker: So, you're essentially consolidating the industry via pricing initiatives. How do you weigh that versus M&A, given your stock is trading at a healthy -- higher valuation relative to peers, I guess on price to book earnings are debatable, but how do you weigh acquisition versus organic growth? Just given you have a pretty strong currency?
Mat Ishbia: Yes. No, it's a great question. I appreciate your thought. We're definitely looking at acquisition, we look at that also. And I'm not saying we wouldn't do that if the right opportunity was there. However, this was a way to make it happen sooner, have much more certainty in the results, and organically control the results ourselves with the data and the information. And quite frankly, it's a lot cheaper, right. I understand your point about. I could pick up someone with more float. I could pick up someone with a lower multiple, but quite honestly, I still think that this is a better strategy right now. However, I'm open minded and I look at things and I think there's a lot of upside and what we're doing right now. And once again, I've tried to give a little bit of early read. I didn't do this. So June 22, but the early read on beamortgagebroker.com, and the loan officer conversions in our market share within and creating stickiness with our clients, it's been phenomenal. And we're excited about it.
Kevin Barker: Thank you. Thank you, Mat.
Mat Ishbia: Thank you.
Operator: Your next question is from the line of the Doug Harter with Credit Suisse.
Douglas Harter : Tanks. Mat, I know, you've made your views around headcount and expenses, clear to us. But just wondering kind of at what point you can kind of get data on sale margins back above expense levels, or kind of get volumes up enough to kind of leverage the expense base?
Mat Ishbia: Yes. I think I'm leveraging, it great right now. So it's feel good about everything. On the expense side, we're obviously profitable. But our business is in a great position. And I know, Doug, you probably get a chance to see what we're talking about here in our office and see how we do things here. And appreciate you recognizing that. But we feel great about where we're at from the expense side. We're profitable. We're running a very efficient business, strategically made a great decision here, which I think, already seeing better results than I expected. You'll see those continue to shine for not only months to come, but years to come. And we feel really good about it. There's always people -- we're not hiring 500 people a month, like I was doing a year ago, but our people are an investment. They're not as much of an expense like other people look at it or investment in our future. They're part of our team. And we're doing great things together. We're winning. And as I told you, we've been waiting for this time in the industry, where rates went up, they went up fast, everyone else's who's kind of caught doing the refi game and the little, merry go round with doing every refinance all day like that doesn't work for a long term strategy. And you're seeing it right now. And that's why, we'll continue to take market share. We'll continue to grow our channel. And we'll be positioned not only for a great year, this year, but 2023, 2024 and 2025. And I think you'll see the return in a very positive way.
Douglas Harter : Great. Thank you.
Operator: Your next question is from the line of Eric Hagen with BTIG.
Eric Hagen: Hey, thanks. Good morning. Sort of broader question about how you manage through a volatile rate and spread environment. Like, how do you take that volatility and effectively communicate changes in mortgage rates to your network of brokers? And how does the volatility you think sort of flow down or affect the way the broker is able to communicate with the borrower level, especially for purchase money loans? Thanks.
Andrew Hubacker: Thanks for the question. Yes. I mean, obviously, it's been a very volatile market. I got a first class capital markets team. We feel good about being able to handle all of this volatility, where some of our competitors maybe struggle a little bit more with it. For the brokers, obviously, it's hard to handle volatility, but volatility plays in the broker strength a little bit. Here's why. When you call someone a, quote, 5.5%, you call some else, they quote, 5%, you're like what's going on? Right. It's such a difference in rate. So what it makes you shop a little more. When you shop a little more, guess what? You're going to find it, the brokers are always going to be cheaper. And so it actually plays in the brokers favor a little bit where not everyone has the same rates, because markets been so volatile, timing has changed. And so, brokers are going to win. Now purchase market, there's a macro environment, you could argue that that slows down purchase throughout the country. But we're still the elite purchase lender. We did over $22 billion this quarter. And we're still focused on purchase business. And so, brokers understanding the volatility and us communicating with it. We have 670 days that are calling and communicating, we'd have different videos, and live shows that go out to brokers to educate them. So they can educate consumers about stuff. And that's part of the partnership. Being a partner with UWM, you have access to leverage our information, our training, our knowledge to communicate in a positive way in their markets throughout America. And it's helping brokers win. And we feel really great about it right now. And we'll continue to use that edge to help our brokers continue to win.
Eric Hagen: That was really helpful. Thanks. And I think you guys mentioned some new funding lines that you're exploring if I heard you correctly. Can you offer some color on what those funding lines are? It sounds like that will be the funding source to support the growth that you're aiming for by trimming your margins. Can you also share how it potentially changes your appetite to sell MSRs going forward?
Mat Ishbia: Yes. So, we have access to liquidity is obviously important. We talked about our actual liquidity in our a lot of our earnings and Andrew and his team have done a great job of putting together, and even Tim, before Tim unfortunately passed, put together ways to that we have access to more liquidity, whether it's partnerships with SFS, whether it's MSR capital lines, lines, because one thing people don't recognize and I don't get any credit for on here is that our MSR lines are not encumbered at all. All my other companies that we're competing with are leveraged up on their MSR, we have not one penny leveraged on our MSR. And so, we're accessing a line on that. And we have access. And once again, even without all that stuff, our cash flow is significant and it's really not a factor. But cash is king. And we're going to continue to make sure we have access to liquidity, we have plenty of liquidity on our balance sheet. And at the same time we use our liquidity and proven ways to provide returns for our partners.
Eric Hagen: Got it. Appreciate you guys. Thanks.
Operator: Your next question is from the line of James Faucette with Morgan Stanley.
James Faucette: Yes. Thanks a lot. Just a couple of quick follow-up questions from me. What's your sense of remaining excess capacity in the overall mortgage market? And I guess, your strategy is pretty clear, how you want to take advantage of the current situation. But as you think about like how this plays out and the duration of how long you want to be aggressive on gain on sale, margins, et cetera. How should we be thinking about those things?
Andrew Hubacker: Yes. So obviously, it's a good point there. The markets definitely interesting. And we're seeing a lot of our competitors laying people off, struggling, losing money, but beyond that, just losing volume and market share at substantial amounts. Part of that is because their business model is tied to refi. Part of that is because their retail branching models. Part of it because their retail market and what they're doing and their margins have to be so big to compete and that their cost to originate is too high to actually be profitable. That's one of the big benefits that we have right now on the technology side and we talk about it a lot is that our operations and cost to originate is lower than most. So we can be more aggressive in the Game On strategy like we're talking about. Put pressure on other players. Give the brokers a massive competitive advantage. Recruit retail LOs all while making a nominal investment in our big scheme of things, while continuing to pay a dividend, because we have so much cash and profitability going forward. And so, we feel really good. It's like kind of like threading a needle. But the overall market is definitely seeing some contraction. And not discrediting, well, the companies that don't do mortgage for a living as this is not their only thing. Of course, it's a contracting market. If you don't have a differentiation, and a strategy to win long term, and short term to be clear. And so, that's happening on some of those. And so those we were consolidating, laying people off, and we just feel like we're really in a great position. I couldn't have predicted this position a year ago, because I didn't think rates would go up this fast. And so, this has really put us in the kind of what do they call it, the catbird seat. I don't really know what that means. But it sounds cool. We're in the catbird seat where we feel good. And these other places, although they're reducing staff, it's going to happen again, like this is -- I've been here 19 years. This is not my first time through this rotation and these cycles, in 2023, 2024, 2025, some time rates are going to drop, and those places that are not going to be able to handle the new volume. They're not investing in technology, they're laying off people. How are they going to sustain? And that's when we're going to make $3 billion, $4 billion plus in one of those years coming up. And that's what's going to happen. This is the cycles. And so we feel really good about where we're at and the position we're in going forward.
James Faucette: Makes sense. And then from, you mentioned, the technology investment you've been making. How are you feeling about like, where you're at on the investment requirements? Is there areas where you need to increase investment? Or is it more likely to sustain investment? Or do you ever reach a point or when you reach a point when you can start to bring that down a bit?
Mat Ishbia: Yes. So that's a great question. And so, we feel really good about our technology investment. Our BOLT technology has been picking up and I think I announced it. It's almost been a year, I think, so. But it's not quite a year, but it's been fantastic. And that makes it so our clients have a better, easier experience. It makes it -- so my underwriters can do more volume per underwriter. So that will lower our costs as well. And so our investments are continuing technology. I think anytime in business, you stop investing in technology, you will lose. Because it's not like there's going to be less technology in five years or 10 years than there is today. So we're constantly investing in technology, coming up with new things, helping our brokers grow new business, whether we come out with Boost. And I got new things coming in next month. And like we're always thinking of what's the next thing to continue to dominate. Because although most people look at our company and say, those guys are really successful. The number one wholesale lender. Number one purchase lender. Number two overall lender, they're really successful. There's so much upside in where we're going. And so much opportunity that we're just getting started. So I'm not slowing down on the technology investment. We're not slowing down on the new initiatives. We're going to continue to grow and dominate and continue to win our market share and help brokers continue to win.
James Faucette: Thanks.
Operator: Your next question is from the line of Steve DeLaney with JMP Securities.
Steve DeLaney : Good morning, Mat, and God bless Tim. Sorry to lose him. Can you hear me?
Mat Ishbia: Yes, thank you. Tim was a wonderful man. I know he likes you. Like talking with you. And he'll be missed by all of us.
Steve DeLaney : For sure. Just a question, how the world did you beat your own guidance on gain on sale in the second quarter, 99% versus your 75% to 90%? What was the key factor in achieving that result?
Mat Ishbia: Yes. Once again, I control the margin. So we set them every single day. And when there's opportunity like Game On where we can lower margins, strategically we do that. And then, there's opportunity when you can pick up. And sometimes that's product mix and different things. But the market and I'm not saying and I'm not just so in arrogant way, the market has to react to us. We are the biggest player in the game in wholesale. And in retail, even though we're smaller than one other player out there. In overall market, everyone has to react to UWM. And so, I'm sure you've heard other places say, the margins have normalized, and they feel good, until we decide to not let them be normalized the UWM. And so, we control that. We feel good about it. So we were able to -- I always tell you, and you've heard me talk about, Steve, 75% to 90% is kind of the low end of a year in wholesale. I could even make an argument that I would take out the Game On quarter or Game On half of the year, because it's just a long term investment, but even with that we'll still be in that 75% to 90% range for the year and we're able to have 99% in the first quarter and second quarter as you probably saw.
Steve DeLaney : Yes. And so, Game On primarily a third quarter, but you made it clear that you might extend a little bit just depending on the on the success. If we look out to 2023, do you think 75% to 90% is where we should be modeling, when we look out sort of post Game On?
Mat Ishbia: Yes. So, I would actually say, 75%, 90% is what I would always tell you in the wholesale channel at least. Now, obviously as technology world's lever that's on the low end, 75%. And I don't see it going below 75%. So if you're modeling that, that would assume a very competitive year again. Now, I'll put the one caveat if I continued Game On further in that could adjust it slightly, but 75% to 90% is the low end year in wholesales to how I look at it right now. And it obviously can evolve. And so, could it be higher than that? Yes. But 75% to 90%, feels like a good number to be on the low end side. Our lowest in history, I think was in the low 80s. And that was, I don't know what year was, but that was a 2018-ish. But that's those type of years. So the market softens, or is a tougher market? Yes. If it's a little bit more sunshine out there, there could be more upside in that. But we're very profitable, 75%, 90%, as we've demonstrated already.
Steve DeLaney : That's great color and congrats on a really good quarter in a tough market. Thanks.
Andrew Hubacker: Thank you.
Operator: Your next question is from a line of Kevin Barker of Piper Sandler.
Kevin Barker: Thank you. I just wanted to follow up on the guide for the third quarter on originations. It would imply a slight decline at the top end. And you seem very excited about the progress you made on Game On. Are you -- I mean, the guidance seems pretty low, given how excited you are with the progress that you've made so far. Do you feel like you had the capability to exceed the $23 billion to $28 billion that you laid out there just given how well Game On has been going?
Mat Ishbia: Yes. So what I'm saying how well Game On is going. I'm mostly focused on LO conversion. Because me getting more market share feels good. And I can hi-five you guys and you'd be proud of me. But the real strategy is long term growth of the channel, right. And so, like when I'm talking about like, that's why I mentioned that beamortgagebroker.com the top of the funnel of the hits, like seeing that many people hit it, seeing the loan officers. We will see the action and the loan officers converting to wholesale, talking to my brokers and hearing I'm going to do or calling them from the retail channel. It's been unbelievable, because we basically just separated retail and wholesale by a significant amount. You notice I point out the [Indiscernible] early my call, $94 cheaper in 2021 for a consumer to go through a mortgage broker than to retail. And Game On only accelerates that makes it even bigger. 2020 is 8,000, 2021 is 9,400. It's growing. Because brokers, I have a better all in our model. And because of what we've done, we've given them the ability to compete, and have low costs, and give amazing product and price to the consumers. And so, to answer your question, and thinking through all those things, and like how we think about it going forward, I feel like we're in a great position. Do I think $23 billion to 28 billion? Yes. Do you think that's the right range? Can we beat it? Yes. Could we miss it? Yes. But I try to give guidance that I think we're going to hit. And that's what we've tried to do before. Obviously, we exceed guidance sometimes. But I think in the last quarter, we were right in the middle of it. And so, the market also got to realize there's inventory shortages out there in the market. And also at the markets, a lot of people are guiding even further down percentage wise, we think we're going to be, hopefully get close to what we did in the second quarter. But 23 to 28, where I guide it towards, I feel confident in those numbers. Is there upside? Yes. Is there downside? Yes. But the focus for me is not about the third quarter volume, although that will be important. The most important thing is the loan officer conversions. And that's a little bit of a laggard, because it takes a while -- and each date takes a while. But over the next three, six, seven, eight months, I'm excited about that. And that conversion along with the market share growth of UWM and the stickiness of those clients will tell the tale of the success of the Game On. And I'll be happy to share more of that data in the November call, and then also in the February call as well, because I think that the numbers will be very, very positively received by you guys, but most importantly my shareholders.
Kevin Barker: Okay, great. And then, with the price initiatives, are you also seeing further expense synergies or at least a decline in operating expenses over the next couple of quarters and maybe going into 2023 to generate more operating leverage, as this plays out?
Mat Ishbia: Are you saying, am I seeing a decline? I'm sorry, you broke up at the beginning of that.
Kevin Barker: I'm sorry. Are you seeing expenses also come down as you implement operating efficiencies within the overall business?
Mat Ishbia: Yes, we do see that. I mean, the efficiency is a BOLT. That's a big one, I will talk about and we're rolling out some more stuff soon. How do we create efficiencies by technology, investments in technology will help us win. And as we can do things such as make it so that our people can do more. And at the same time, you have technology to help us with own quality. So we have less buyback risks. We have less service related issues. All of these things tie into it with technology. And so, yes, I am seeing costs and expenses go down. And you'll see that as well in the numbers in the third quarter. But it's not focused on letting people go. It's focused on how do we make people more efficient, and handle the volume and make sure the service and loan quality, all those things at the highest levels.
Kevin Barker: Okay. Is there any way you can quantify how much the operating expenses can decline in third or fourth quarter?
Mat Ishbia: There's a lot -- I can't quantify it right now for numbers. You'll see it in the third quarter. But I'll say is, we focus on making sure that we're not bloated, right? And so, everyone else has to do things by laying people off. That's not how we have to do things. We have to focus on how do I do that by making us more efficient. So with the volume numbers that we were just talking about, in my staff to appropriately handle volume, we have to be overstaffed by design, which is why I'm not laying people off. So I'm prepared for the 2023, 2024 and 2025 time when no one else will be. And at the same time, we have the upside to grow, right? Because we're not sitting here saying, we're going to keep retracting, retracting, retreating and retreating like a lot of our competitors. Were saying, I'm going to add thousands of loan officers to the wholesale channel. Well, I might have to grow in the fourth quarter. I might have to do more volume in the third or fourth quarter than I did in the second quarter like which is mind boggling in this market. But I have to be prepared for that. Because the loan officers are coming over and droves from the retail channel, we got to be ready for that. And on top of that, one last thing, not only loan officers coming over, the one piece that maybe have not reiterate enough is the loan officers in the broker channel right now, John Smith, in the broker channel, he is wining to loan against the retail loan officer, a guaranteed rate or movement or loans, like always good -- those are good times, I'm not saying anyone negatively. He's winning those loans. And so the loan officers in my channel are actually getting a bigger percentage of market share right now. Not even counting the loan officers not even counting and UWM's market share. And so, it's just winning all around. And so, I got to be prepared for that and I am prepared for it.
Kevin Barker: Okay. Thank you for taking my call questions.
Operator: Your next question is from a line of Jay McCanless with Wedbush.
Jay McCanless: Hey, good morning. Thanks for taking my questions. Mat, I think you made a great point that it may be cheaper cut margins right now and grow the business that way than it is to do an acquisition. But at the same time, your warehouse borrowings are going up. You've got an aggressive fed that wants to keep hiking rates. At some point, it seems like you're going to have to slow it down a little bit. I mean, can you maybe talk about what you're thinking from that perspective? And when is enough, enough, I guess?
Mat Ishbia: I'm not following what you're asking. You're saying slow it down a little bit and slow down the ability to.
Jay McCanless: Yes. I mean, your cost of funding is going up, the size of your warehouse borrowings are going up. I understand that you're generating more mortgages, but your costs, maybe your personnel costs aren't moving up, but your funding cost is moving up pretty quickly. I understand the strategy. Understand where you're trying to go with this. But is it going to get too expensive at some point? Is it too punitive to keep this amount of borrowing up in order to drive this kind of market share?
Mat Ishbia: Yes. So couple things. No, it's not too punitive. But our borrowing costs and warehouse costs are not going up, they're actually going down. You remember that they match the note rate. So the interest rates at 5.5. There's still an entry. If you look at my financials, the interest income versus interest credit or interest costs. So, we're actually -- we have a we have a gain there. So I think maybe you're missing me. Or maybe I'm misinterpreting what you're asking, you're misunderstanding what's going on. But we feel really good about that. And so no, it's not punitive. Because, once again, I'm not playing the third quarter game. I'm not playing the fourth quarter game, I'm playing the 2023, 2024, 2025 games. And we feel really good about. Of course, first half of the year was very profitable. We're paying a dividend. I mean, for my shareholders, they got to be ecstatic. We're paying, I think, I don't know what the stock is anymore. But what's called a 10% dividend, which is fantastic. Our company is profitable or gaining market share, we have strategy to win and 2023, 2024, 2025. Anyone who really understands our business sees there's a multibillion dollar profitable year in 2023, 2024, 2025 what do we make $3 billion or $2 billion or $4 billion, whatever the number is. And based on the multiples my stock prices, everyone feels really good. There's great growth potential across the board. So, no, I'm not worried about it at all. I think that maybe I misunderstood what you're saying, because our warehouse costs and those things are going down as a spread, but at the same time compared to the note rate we're making money, because it's all relative to the note rate on the loan.
Jay McCanless: Okay, great. Thanks for taking my question.
Mat Ishbia: Thank you.
Operator: Your next question is from a line of Kyle Joseph with Jefferies.
Kyle Joseph: Hey, good morning. Thanks for taking my questions. Just going back to your long term targets of 33% roughly a third for the broker channel. How much do you see an initiative, like Game On accelerating that, obviously, it's subject to market conditions? And then second part of that question, you also talked about potentially even go into 40%, what's the balance of broker conversion versus increased productivity in that 40%?
Mat Ishbia: Yes, great question. So 30 -- I'm sorry, Just do you have one thing. Okay. 33% was wiped out targeted for a while. How do we get to 33% by 2025, 2026? I think I've said that, since my road show when we went public. And that's still the focus. I think Game On accelerates that. This market accelerates. If you remember from my road show, and when we went public, I talked about. When rates go up is win loan officers. You will say, what keeps you up at night, Mat? When rates go down, that's the only thing that will slow our growth of the broker channel, and slow the success of what we're about to build right here in this channel. So a big part of is our low conversion as you reference, but also its a good point on the brokers, our current brokers doing more. We have partners, the partnership we do and the things we do to help our current brokers winning grow, is what I live for. It's what we do all day. And it's something I can't talk about this, because people don't really understand it or feel the love and passion we have for the current broker channel. But hundreds of loan officers out here every week to get training, success track, getting better, finding ways to improve, finding ways to talk to real estate agents and grow their business, the broker channel has so much growth, it's like a six foot 11, 15 year old that's, athletic and [Indiscernible] he's going be NBA star. He's got all of this upside. That's the broker channel. We have all the upside. We feel good about it. So I'm going to help them grow. We're going to help convert loan officer to retail, because [Indiscernible]. I want to grow. I want to be in the broker channel. I know that got things going on over there. UWM got their back. And so, we feel excellent about that opportunity. So, what percentage is which? It's hard to say, what's going to make up the 33% or the 40% targets. I think a lot of it's going to be LO, loan officer conversions. That's really what I can move the needle on. But every day that I'm here, every minute that I'm here, we're focused on helping our current brokers grow and succeed and excel. And while that next three order and while that consumer and get a better Google review. That's what we do. That's what UWM does. That's where that NPS, Net Promoter Score I talked about earlier has such a big thing. Because if we do an amazing job, then that makes the broker look like they did amazing job, which they did. And when they do that, they get more referrals. And that's how this thing's going to grow. And so, 33% by 2025, 2026, I stand by that number, I feel confident in that number. And how do we get more loan officers over, so I can get it over to maybe 40%. I mean, we're competing for two out of 10 loans right now. And we're the number two overall mortgage company. Imagine when I compete for three out of 10 or four out 10 loans, we will be the dominant force in the wholesale channel and in the overall mortgage market, and so will the brokers.
Kyle Joseph: Very helpful. Thanks for answering my question.
Operator: Your next question is from a line of Mark DeVries.
Mark DeVries: Yes. Hi. How sticky in your experience have share gains been from pricing initiatives, like Game On as opposed to maybe just learning on some more of the services that you provide to help your brokers kind of stand up and grow their businesses?
Mat Ishbia: Great question. So that's what we have to focus on is what the stickiness factor is, right, and how that continues going forward. And so, that will tie to the market share growth and figuring out how our net promoter score is? How our technology is? How will we make it so that the brokers realize that UWM is the best partner for them for the long term? And so, that's a big part of this strategy, right? And we've done it before. If you look back in 2018, look at my market share. I don't know the exact number, but I'll call it 15%-ish. And then watch my -- look at my 2019 number, which I think is more like 30%. I'm not suggesting we're doubling market share. This time they were so big, it's hard to move the needle at this size. However will go up? Yes. And it stayed sticky. So we think about it. We have we have a great grocery store where people are coming into our grocery store because we have a special and an opportunity. And then they see, wow, this is the best store. I love the service. I love everything about it. I'm going to keep coming here. And that's what we have to do with UWM with our technology, with my account executives, with my operations team, with my partnership, with our training, with our initiatives, help brokers grow, with them watching our videos, we track everything to make sure that they're getting the vantage and the benefit of this. And as we talked about, how are we going to continue to grow our market share. One is, new LOs converting from retail to wholesale, there's 400,000 or 500,000 in retail right now, let's convert them. Two is, let's grow my current LOs value, like how to help them, get more real estate agents, more consumers, help them get more business, help them succeed and grow. And then the third piece is, the LOs that are right now doing business, how do I get a bigger percentage of their market share and let them stick with UWM, their wallet share. And so all three of those things are the plays we're playing, and we focus on each of them every single day. And so, I think that's really the key, the stickiness is the right question that you ask, because that's really what we're focusing on to make sure that they become not just third quarter clients of UWM, but lifelong clients for UWM. And I think that with the technology and services and opportunities we offer, that's what's going to happen.
Mark DeVries: Okay. That's helpful. And then what is the competitive response been to Game On? Are you seeing competitors try to match on price and limit those share gains? Or are they struggling to do that? Because it's just -- their cost to produce is too high?
Mat Ishbia: Yes. They're all trying to, but you hit it right. The cost to produce is just too high. It's some point that, I'm talking and they're like reacting to me, right? I'm making this decision. And they also react to what UWM. It is not like I called everyone and said, guess what on June 22, we're going to do this, be prepared. We did on June 22, our cost to originate because of our technology is lower than everybody else in the wholesale channel and the retail channel to be clear. And so, it's kind of, puts them on their heels a little bit. And so, they all lowered the rates, which helps all brokers once again, right, all part of the strategy, but none of them can get to the level that we're at right now. Because, quite honestly, their cost to originate is just too high. Their technology's not been developed at the same pace as ours and at the level that ours is. And quite honestly, they just don't have the cash reserves, the strategy, and they're reacting rather than being proactive. And then the same thing, shareholder support. Our shareholders understand, we get it not only am I paying a dividend, which is out of this world to 10%, but they're getting a 10% dividend, they have a confident that they know is going to be worth more from a market share perspective, market cap perspective over the next two to three years. And so, everyone's supportive of this. I got 100% support from the board, my brokers, everyone loves what we're doing. And so we feel good. I don't know that our competitors can have that on a reactive basis compared to my proactive way.
Mark DeVries: Got it. Makes sense. Thanks.
Operator: Your next question is from the line of Courtney Bahlman with Barclays.
Courtney Bahlman: Hey, everyone. Thanks so much for the question. Really quick two from me. First, total non funding debt to equity leverage looks pretty light, which is great, especially in this environment. But, with your bonds trading where they are, how are you guys thinking about the possibility for any sort of opportunistic repurchases and how they fit into capital allocation priorities as a whole?
Mat Ishbia: Yes. Thanks for the question. Yes, our non funding debts were a great ratio, great position. In general, what I would say is, Andrew is doing a great job going through how do we use cash the right way, is definitely something we look at. We obviously have authority on the buybacks. We have to worry about the float, as we've talked about, before. We go through all of these everything, how do we focus on it, but we're opportunistic and everything. Opportunistic on acquisitions, opportunistic on debt buyback, opportunistic on Game On. We're sitting here trying to win long term. And we look at all aspects of the business. And so, we're excited about where we stand. We have cash. We have opportunity. We have the business structure, the purchase volume, all of the things are in our favor. And so, I'll just say, the short answer is opportunistically, but the long answer is, I can go through this, roll on thing, all different things we're thinking about from a cash perspective, all the things we're thinking about how to prepare ourselves to win long term. And so, right now, we're opportunistic, but there's nothing on the agenda as of today.
Courtney Bahlman: All right. That's super helpful. Thank you. And just one more, if you don't mind. I know you guys don't specifically hedge MSR risk. But unless the buoyancy and rates, is there any changes to how you're thinking about that moving forward into 2023?
Mat Ishbia: Yes, absolutely. So I mean, it's like you said about risk committee with me. We analyze this and develop it and talk about it all the time. When is the time do we hedge? What percentage do we hedge? How do we analyze it? What's our whack versus the market and go through the details. It's a long boring conversation, but we spend a lot of time on it. And so we look at it. We make an analysis what's best for the business. Right now we feel comfortable with where we're at. But it's discussed and talked with not only with the my Principal Financial Officer, Andrew, but capital markets, leaders, and a lot of different people in that region from risks, Chief Risk Officer, and so all different things. We look at all aspects of it all the time.
Courtney Bahlman: All right. Awesome. That's very helpful. Thanks, guys.
Operator: Our final question comes from line of Michael Kaye with Wells Fargo.
Michael Kaye : Hey, good morning. One of the pushbacks I get when I talked to about the growth of the broker channel. Is that a lot of these retail loan officer detections are really not the higher quality loan officers, either from the bank or even the non bank retail shops. Meaning, it's really these lower tier retail loan officers from much smaller retail mortgage shops who are converting. Any sort of comments on that?
Mat Ishbia: Yes. That's what I would say if I was in their seat too, right. I can show you multiple people that were in top 100 Scotsman Guide that evolve. If you want to call it defected, I call it proactively one, and went to the broker channel over the last year. And so, it happens all the time. Of course, some of the top guys have they moved a little when you pay $20 million, or $5 million retention bonuses to keep them and then raise your margins to try and make up for it. The game is over is my perspective, my goal. It's over. We're just waiting for everyone else to see it, they are all converting over. I won't say all. They are converting over. We see the number, the high quality loan officer, a low quality, like their loan officer they are producing. And once again, the end game is what percentage of the loans are going through the broker channel? Right now, it's two out of 10, will become two and a half out of 10, will become three out of ten, three and a half, eventually, four out of 10 loans, how that progression happens. And you'll see it in the numbers, right? I'm just trying to give the early read, because I live this all day, every day, and beamortgagebroker.com funnel, and looking at all the aspects of that and then seeing the loan officers convert, like, they can say what they want to say about it, whatever you want to do, but last year 6300 converted, this year, almost 6000 already. And so, we're going to have more loan officers convert. I think more is better than less. And the facts cannot be argued that the broker channel is growing. It's just not as can be argued. And I also, I know you spend a lot of time in this space, Michael, go talk to him. I'm asking to connect you to a bunch of loan officers that just left. And we talk to loan officers that were thinking about leaving and they stay. You can get all that information. But I'm trying to give everyone a high level view, but I'm in the reads of it every day.
Michael Kaye : Okay. That's great. Any update on Boost. Does that fully rolled out yet? What's the take up rate with clients thus far?
Mat Ishbia: Yes. Boost is going well, it's still early, right? We just we just rolled out where brokers are trying it. There's all there's three parts of Boost. All aspects are being tried. But just like where I was explained things with my brokers, it takes time for all these things evolved, people get comfortable buying leads, a lot of loan officers in the broker channel are use to use to buying leads. And so, how do they buy leads? Do they have to call the borrower multiple times, like there's big companies that are set up to call the time and so we've done some things that transfer leads to them. But we feel really good about them having the opportunity in Boost and getting them to be competitive if they want to buy leads. They want connections or real estate agents. And so, it's going really well so far. It's still early, but we feel good about that. And I'll be able to continue to do more updates. Just like BOLT, I'll give you constant updates on how BOLT is going. That's almost a year. It's a year anniversary. Same thing with appraisal direct. And some of these things I rolled out last year, the source, one year later, it's like, wow, how do we ever survive without it? I'm hoping that Boost will be in that same category over the next one to three plus years.
Michael Kaye : Thanks so much.
Mat Ishbia: Great. Well, thank you. I appreciate it. Is there any more questions?
Operator: There no further questions.
Mat Ishbia: Great. Well, thank you all for taking the time to listen our call. We appreciate the support. Blake is available. Andrews available. I'm available. Of course Matt Roslin too. We're all available to talk. But if you need any questions, follow up, Blake Kolo or Andrew, myself, we're all available to talk to you. Thanks a lot. We appreciate the support and have a fantastic day.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines